Operator: Good day, ladies and gentlemen and welcome to the Quarter Three 2014 Allegheny Technologies Earnings Conference Call. My name is Michelle and I am the operator for today. At this time, all participants are in listen-only mode. We will conduct a question-and-answer session towards the end of this conference. (Operator Instructions) As a reminder, this call is being recorded for replay purposes. I would now like to turn the call over to Mr. Dan Greenfield, Investor Relations. Please proceed sir.
Dan Greenfield - Investor Relations: Thank you, Michelle and good morning and welcome to the Allegheny Technologies’ earnings conference call for the third quarter 2014. This conference call is being broadcast on our website at www.atimetals.com. Members of the media have been invited to listen to this call. Participating in the call today are Rich Harshman, Chairman, President and Chief Executive Officer and Pat DeCourcy, Senior Vice President, Finance and Chief Financial Officer. All references to net income and earnings in this conference call mean net income and earnings from continuing operations attributable to ATI. If you have connected to this call via the Internet, you should see slides on your screen. For those who have dialed in, slides are available on our website, www.atimetals.com. After some initial comments, we will ask for questions. During the question-and-answer session, please limit yourself to two questions to be considered of others on the line. As always, we will make every attempt to reach everyone in the Q&A queue within the allotted conference call time. Please note that all forward-looking statements this morning are subject to various assumptions and caveats as noted in the earnings release and on this slide. Actual results may differ materially. Here is Rich Harshman.
Rich Harshman - Chairman, President and Chief Executive Officer: Thank you, Dan. Good morning to everyone listening today. ATI posted breakeven pre-tax income and earnings per share from continuing operations in the third quarter 2014. Segment operating profit improved over $70 million. The third quarter was impacted by $12.9 million of commissioning and qualification costs related to our hot-rolling and processing facility known as the HRPF and our Rowley, Utah Titanium Sponge facility. We also recorded $10 million of LIFO charges. Adjusted pre-tax income, excluding these items, was $27 million in the third quarter 2014 compared to nearly $15 million in the second quarter ‘14 and a loss of nearly $9 million in the first quarter of 2014. While we are far from satisfied with these results, our financial results from continuing operations continue to show steady improvement. In addition, the commissioning of our HRPF remains on track and the initial quality of the product being produced at this early stage is better than expected. As a result, our forecasted startup costs in the third quarter were lower than expected. The premium quality, or PQ, qualification of our Rowley, Utah Titanium Sponge facility remains on schedule. We recently completed three major strategic long-term agreements or LTAs that secures significant content for our mill products, forgings and investment castings on next generation and legacy single-aisle jet engines. We have been preparing for this secular shift in the jet engine market over the last several years with our capital investments, acquisitions and product innovations. Also, we are recently awarded significant orders for our nickel-based alloy plate in our flat-rolled products business that will be used in a large oil and gas pipeline for a sour gas field in Asia. ATI was well-positioned to capture the jet engine LTAs announced yesterday as well as other important LTAs that have been awarded through the first nine months of 2014. Much of the strategic investments we have been making over the last several years are now qualified to produce next-generation alloys, parts and components that are expected to grow faster than the aerospace market growth. These investments are beginning to create value for our stockholders as the demand for ATI’s diversified and differentiated products is projected to significantly outpace global GDP growth over the next 3 to 5 years. We will discuss these important accomplishments in greater detail later in the call. First, Pat DeCourcy, ATI’s Chief Financial Officer will discuss the third quarter financial results. Pat?
Pat DeCourcy - Senior Vice President, Finance and Chief Financial Officer: Thanks, Rich. Turning to Slide 4, looking at the third quarter results from continuing operations, sales were $1.1 billion for the third quarter 2014, 77% of our sales in the first nine months were of high-value products and international sales represented 38% of our year-to-date sales. ATI’s international sales are mostly to the aerospace, oil and gas chemical processing industry, electrical energy and medical markets. Segment operating profit was $70.6 million or 6.6% of sales in the third quarter compared to $65.2 million in the second quarter 2014 and $27.6 million in the third quarter 2013. Results from continuing operations were breakeven compared to a net loss of $3.8 million or $0.03 per share in the second quarter 2014 and a net loss of $28.4 million or $0.27 per share in the third quarter 2013. Turning to Slide 5, High Performance Materials and Components segment sales were $508 million, which is 1% lower than the second quarter 2014, but 9% higher than the third quarter 2013. Segment operating profit was $62 million, which was $23 million lower than the second quarter 2014, because the second quarter benefited by $26 million due to the reversal of our remaining LIFO related net realizable value reserves. Without this reversal, segment operating profit increased by $3 million in the third quarter compared to the second quarter. Segment results continue to be negatively impacted by low operating rates at our Rowley Titanium Sponge facility and by our strategic decision to use ATI produced titanium sponge rather than lower cost titanium units to manufacture certain titanium products. This is expected to continue throughout the remainder of 2014 and into 2015 until we complete the Premium Quality qualification or PQ process at Rowley. Segment results also continue to be negatively impacted by low utilization rates in our forging business due to scheduled push outs for certain jet engine programs. Flat-Rolled Products segment sales were $562 million, which was 7% lower than the second quarter 2014, as one would expect during the seasonally slow summer months. Third quarter 2014 segment sales were 10.5% higher than the third quarter 2013. The segment returned to profitability with $8.6 million of operating profit, which was nearly $29 million better than the second quarter 2014. Results were impacted by $13.1 million LIFO inventory valuation charge and $6.2 million charge related to the HRPF startup. In addition, the third quarter 2014 included a major portion of the higher costs related to the Rowley Titanium Sponge facility PQ qualification process. This includes charges for the market-based valuation of industrial titanium products as well as higher raw material costs due to the strategic decision to use ATI produced titanium sponge rather than low cost titanium units. Slide 6 shows the impact of the HRPF and Rowley startup qualification and inventory valuation costs had on pretax income from continuing operations. We are highlighting the LIFO reserve charges to better show fundamental performance since the first and second quarter LIFO charges were essentially offset by the NRV reserve, which was fully reversed by the second quarter. Adjusted income before tax excluding these costs was $27 million in the third quarter compared to the second quarter adjusted income before tax of $14.9 million or an improvement of over 80% and an adjusted loss before tax of $8.9 million in the first quarter 2014. Startup and qualification costs are expected to continue throughout the HRPF commissioning and the Rowley Premium Quality or PQ qualification program. Once completed both of these growth capital projects are positioned to earn their expected returns on capital. The majority of ATI’s inventory is valued using the LIFO method. The inventory valuation costs were significantly higher in the third quarter compared to the second quarter because there was no NRV offset. The difference in actual third quarter costs compared to our forecasted charges primarily resulted from lower nickel prices. Now we are turning the call back over to Rich.
Rich Harshman - Chairman, President and Chief Executive Officer: Thank you, Pat. Turning to Slide 7, the aerospace and defense market continues to be our largest end market. ATI sales into this market for the first nine months of 2014 were $1.1 billion, representing 34% of our sales. We expect that the commercial aerospace market will be a significant driver of our profitable growth over the next five years. Third quarter 2014 sales to the aerospace and defense market were flat compared to the second quarter of 2014. While sales for our specialty materials mill products increased 5%, this increase was offset by a decline in sales of our forgings due to the scheduled push outs on certain jet engine programs. These engine program build rates are robust for the next few years. There is no change in long-term demand rather there has been a significant change in our shipments due to customer inventory management. High Performance Materials and Components segment titanium mill products shipments increased over 1.6 million pounds or 25% compared to the second quarter 2014. Most of this increase was to the airframe market followed by increased shipments to the medical market, as expected shipments of value-added titanium mill products increased significantly. We also shipped more titanium ingot in response to customer demand. While our product mix was very good, the average selling price fell because of increased ingot sales. Our titanium investment castings business is having another record year. Since becoming a part of ATI in 2011 as a result of our acquisition of Ladish, ATI cast products has doubled its revenue and we believe we can more than double its revenues again over the next five years. During the third quarter 2014, ATI reached agreement on strategic LTAs that secures significant growth on next generation and legacy jet engines. We announced these LTAs in two separate news releases yesterday. One, LTA extends an existing agreement with a leading jet engine OEM and enhances our position as a leading supplier of Premium Quality or PQ nickel-based superalloy and titanium-based alloy mill products. PQ mill products have been a strength of ATI for many years. Importantly, we maintained and enhanced our position for these products with this strategic customer. In addition, we have existing mill product agreements in place for differentiated alloys, such as Rene 65 alloy and ATI 718Plus alloy. These are both high-growth premium quality products on next generation engines. Another LTA was the leading jet engine OEM significantly increases our forgings content on single-aisle aircraft. This LTA is significant in several ways. One, we currently have little forging content on single-aisle jet engines. So, the percentage of growth is significant. Two, the LTA helps diversify the customer base for our forging business. And three, we have secured high-volume forgings that are expected to improve our asset utilization and improve the operating margins of the forgings business. The third LTA significantly increases ATI’s titanium investment cast products content on next generation and legacy single-aisle jet engines, including the CFM LEAP family. This new agreement builds on our long-term strategic relationship with Snecma, a unit of Safran and recognizes our integrated capabilities from raw materials, that is Titanium Sponge, through mill products to forgings, investment castings and components. The LTAs begin in 2015 and run into the next decade. In addition, several other jet engine and airframe LTAs are currently being worked on. With our focus on creating value through relentless innovation, we have secured important strategic positions on next generation engines that are positioned to work directly with the OEMs on the development of future generation technologies and products. Slide 8 shows the firm order book of the major engine programs, which as of August 2014 stands at over 21,000 large jet engines. The first five lines show the backlog for engines that power single-aisle airplanes. The single-aisle engine is the high volume engine. Enhancing our position in this category is an important strategic accomplishment that we have focused on and have been working towards for several years. Turning to Slide 9 shown is the forecast of commercial aircraft build rates as of July 2014. It does not include Boeing’s October 2, 2014 announcement that Boeing will increase the 737 single-aisle production rate to 52 per month in 2018 from the current rate of 42 per month. Boeing also confirmed its plan to increase the 737 program production rates to 47 airplanes per month in 2017. In addition, the Airbus A320 program is also projected to continue to be built at high rates. The black line on this chart represents the number of next generation of airplanes in the build rate forecast. This black line is a good proxy for ATI’s potential growth trajectory since we have secured increased positions on many of the next generation airplanes and the engines that power them. Moving to Slide 10, ATI is driven by relentless innovation. We are not satisfied with status quo. We have been making capital investments, making acquisitions and innovating many of the technologies that enable the next generation airplanes and jet engines. Pictured here are several examples. We are near the end of ATI’s extraordinary capital expenditure cycle that began in 2004 as the build rate ramp up proceeds and with the important LTAs we have in hand with both airframe and jet engine customers we can improve the utilization of these assets and move from a period of extraordinary capital expenditures to expected rates of return that justified these capital investments. Moving to Slide 11, the oil and gas chemical process industry market is our second largest end market. ATI’s sales into this market for the first nine months of 2014 were nearly $550 million, representing 17% of sales. Sales decreased 14% compared to the second quarter of 2014 mainly due to seasonal summer slowdowns and inventory management actions primarily in Europe. We booked large orders for our nickel-based alloy plate to be used in the sour gas pipeline. We expect to begin to ship a small amount of this plate late in the fourth quarter 2014, but most of the shipments are planned for the first quarter 2015. Additional large projects are being tendered. The timing for the orders and shipment is yet uncertain but it is expected to benefit our results over the balance of 2015. We also expect to continue to benefit in 2014 and beyond from the demand for our nickel-based alloy and specialty alloy products used in flow lines that will be used on projects in Asia, South America and the North Sea. ATI’s strength is our diversity of oil and gas products used in down-hole drilling and completions coupled with upstream offshore. This provides some insulation from short-term shifts. The upstream market which is driven by project awards such as the large project for nickel alloy plate discussed earlier has long-term growth potential, particularly on projects that are already in advanced stages of development. We are also seeing interest in our products for global refinery and chemical process industry projects maintenance, upgrades and new projects. The beginning of the so-called renaissance in the U.S. chemical process industry appears to be getting closer to benefiting ATI. The U.S. chemical process industry can expand efficiently and competitively due in large part to the reliable availability of low-priced natural gas. For example, we are tracking a large number of ethane cracker projects that are in design phase, numerous urea projects have been announced and we are also tracking many projects for the U.S. and others areas of the world, so demand growth could continue in this market for many years. Another strength of ATI is the diversification of products that we provide to oil and gas chemical process industry market. We continued to expand our product offering to these markets. The HRPF gives us the capability to offer the market larger and flatter coils of nickel-based alloys, duplex alloys and other specialty alloys and stainless alloys. We are also expanding our forged products position in this important strategic market. ATI Flowform products, which we acquired this year is being evaluated by customers for many new applications for this market. Oil and gas, chemical process industry is a target market for our Flowform products and has the potential for a significant growth in our view. Turning to Slide 12, as I stated earlier commission of our – commissioning of our HRPF remains on track. During the third quarter 2014, significant progress was made in commissioning the more than 140 ATI Flat-Rolled products. The initial first pass quality of the products has been outstanding and has exceeded our expectations. 95% of the coils rolled have met customer specification and are approved for shipment and sale, which has helped to minimize startup costs in the third quarter. Most major alloy families rolled on the HRPF have now been processed through finishing operations. Approximately 600 coils have been produced and evaluated. New products produced includes the 60-inch wide stainless sheet and continuous mill plate, 48-inch wide nickel-based alloy and selected carbon steel grades. Products qualified through the finishing flow path include most 300 series and 200 series stainless at many different thickness ranges. A second shift has been added at the HRPF in mid-October as we continued to target completion of the commissioning process by the end of 2014. HRPF equipment’s final acceptance testing is scheduled to be completed in the first quarter 2015 resulting in the transition of all production from the old hot strip mill and old breakdown mill to the HRPF. Our first commercial order for ATI produced 60 wide finished stainless coil was recently received with shipments scheduled for January. While significant work remains over balance of 2014, it is fair to say that our HRPF is open for business. This is important since it demonstrates our customers’ confidence in the quality of our product. It’s also important, because it is a beginning point in the building of the order book that will be processed on the HRPF during 2015. We continue to believe that the HRPF will provide our Flat-Rolled Products segment with $150 million to $250 million of additional operating profit as compared to the 2014 baseline. The loading of the facility to this order book will provide essential information on the timing of achieving this target. As we complete the HRPF, there is no on and off switch. We will build a book of business, accelerate the learning curve, and achieve increasingly better operating results as we progress through 2015, 2016 and beyond. We believe that the HRPF investment in combination with our continued focus on cost reduction and enhancing our market position for both standard grade and high-value flat-rolled products enables the successful transformation of our flat-rolled products business into a global leader that can sustain profitable growth through business cycles. We continue to view the HRPF as a game changing investment designed to significantly enhance ATI’s flat-rolled product capabilities and reduce manufacturing cycle times for all of our flat-rolled products and be the enabler to continue to significantly reduce production and overhead cost. The Premium Quality or PQ qualification program at Rowley remains on schedule. We have used Rowley-produced titanium sponge to make bar products. All bar products required to be produced using Rowley sponge as part of the PQ qualification process have been manufactured and inspected and all have met qualification requirements. As previously stated, we remain on track to achieve customer approved PQ status at Rowley in 2015. This will enable the use of Rowley-produced titanium sponge for all ATI products, including PQ mill products, parts and components and will enable the production rate ramp at our Rowley facility. In summary, the third quarter was highlighted by several strategic events that support our ability to achieve our long-term growth projections. We successfully reached strategic LTAs that secure significant growth on next-generation legacy jet engines. Achieving these LTAs, we are enabled by the capital investments, acquisitions and innovations we have made over the last several years. We received orders for our large nickel-based alloy plate projects. We received a large portion of this project mainly because of our high-quality nickel-based alloy plate capability that is significantly enabled by the investment we made in 2008. Both the HRPF commissioning and the Rowley facility PQ titanium sponge qualification remain on track. Both of these capital projects are expected to provide ATI with progressively better growth and improved operating performance beginning in 2015 and beyond. As we look at the fourth quarter 2014 and the future, ATI’s fourth quarter results are forecasted to be impacted by $33 million of commissioning, qualification and LIFO inventory evaluation costs. The drivers of our secular growth market remain intact in the aerospace, oil and gas chemical process industry, and medical markets. In addition, North America and global automotive build rates continued to display favorable growth potential for ATI’s products. The North American automotive supply chain continues to grow to supply the expanding build rates for European company assembly plants recently built in the U.S. and Mexico. Even with these strong secular growth prospects, once again the business world is ending the year with macro uncertainties and concerns about global economic conditions. What is a good 2015 GDP growth forecast for the U.S. and global economies, which is the current lower price of oil and other commodities like nickel mean, lower economic growth or just a temporary drop in price? Will the dollar strength undermine U.S. exports and invite imports? Will Ebola impact travel and global economies? Will unrest in the Ukraine and the Middle East undermine the global economy? These are some of the uncertainties that we are all dealing with. As a result in the short-term, we expect our customers in the short cycle markets to cautiously manage their inventories. Frankly, this has been the case for the last several years. So, there is really no change there. In the meantime, we will remain focused on things within our control and take actions to continue to strengthen, improve the profitability and grow ATI over the long-term for the benefit of our shareholders. For example, so far this year we have successfully reached LTAs with a total value of more than $2 billion. I am confident ATI’s performance will continue to improve due to expected long-term growth and demand from our global markets, our technology leadership, our focus on creating an aligned and integrated ATI and the growth in cost reductions enabled by our strategic investments and acquisitions, including the HRPF and Rowley. Operator, may we have the first question please?
Operator: Yes. The first question comes from the line of Richard Safran (Buckingham Research). Please go ahead.
Richard Safran - Buckingham Research: Thank you. Good morning.
Rich Harshman: Hi, Rich. How are you?
Richard Safran - Buckingham Research: I am doing well. Thank you. I wanted to ask in your remarks and in the release you discussed, you noted some push-outs on aircraft engine forgings. And I wanted to know if you could maybe cover a little more detail as to why that is? And the reason I ask is that I think it may have been last quarter we had indicated or I thought you had indicated – you saw there is some evidence that de-stocking had gone too far specifically with respect to engine manufacturers. So, I want to know if you could – first, if you could just give us a little bit about what’s going on with these push-outs?
Rich Harshman: Yes. I think the push-outs really Rich on – this is one, in particular, one jet engine OEM. Some of it deals with quite frankly the A380 and the lower build rate and lower commercial success of the A380 platforms than what was anticipated, but most of it quite frankly deals with really aggressive inventory management and that has been going on for two years by a jet engine OEM. And we saw the revenue and shipments that were scheduled to be shipped throughout 2014 early this year were pushed out beyond 2014 into 2015. So, every quarter this year and quite frankly throughout all of 2013, our revenue stream and our shipments on forgings to this one particular jet engine OEM have been negatively impacted. And I think it’s been commented on publicly not by me, but by others that there have been significant percentage reductions in inventories across the supply chain of this jet engine OEM in 2013 and 2014. We began to see and continue to see quite frankly here in the third quarter heading into the fourth quarter evidence that the inventory correction and inventory management actions have been – are basically ended in what is now the case throughout the supply chain with this jet engine OEM is demand is in support of the actual build rates that are going on. So, we are seeing some requests for pull-aheads although I would say it’s modest, but I think it gives us some confidence and the comments from the customer themselves give us confidence that for the most part the push-outs are over in 2014 and we will see more fundamental pulls from a demand standpoint in 2015.
Richard Safran - Buckingham Research: Okay, thanks for that. Now, a second question on the HRPF, given all these positive comments that you have been making and how much better it’s doing in expectations, I just want to know if you can give us an update here about how you are feeling about the guide, $150 million to $250 million benefit? Now, that you are getting closer to having this facility commissioned, I just wanted to see if you could just give us an update on how you are leaning on that guidance?
Rich Harshman: Yes, I think that I mean I will say I am very comfortable at the low end of the guidance, which is more driven by maybe current market conditions and current demand for the products that we will be producing as well as the ability of us to significantly take costs out of the manufacturing process of those products. So I am very confident at the lower end, the higher end has always been dependent upon the growth in the market of the products and more attractive base pricing improvements as we move forward. I do believe that as – when you really look at a facility like this that is in a startup mode the fact that this facility and at some point here the investment community will have a chance to tour the facility as we get into 2015. The facility is really fully automated and integrated. So, there is a lot of learning that goes on from an automation standpoint that the more you produce, the smarter the automation becomes and therefore the lower the cost actually of the products that we are making. And so I would expect that will continue in through 2015 that in the second half of ‘15 we will be running much closer to that lower end number than we will in the first half of 2015. And 2016 I am – and beyond I think that we will move beyond the lower end guidance and start approaching the upper end guidance. So I mean this is a facility that is not only significantly more capable of serving the market and the customer needs of what the assets we currently have that have been operating for over 60 years but it also gives us an opportunity to reengineer and rethink the flat-rolled product business and that’s exactly what the management team is doing.
Richard Safran - Buckingham Research: Thank you.
Operator: Thank you. The next question comes from the line of Julie Yates of Credit Suisse. Please go ahead.
Julie Yates - Credit Suisse: Rich, in July you guys talked about $15 million to $20 million increase in Q3 operating profit excluding the impacts from the HRPF, Rowley and LIFO and it looks like the increase is closer to $12 million, can you talk about what drove the slightly lower level of improvement and what you are looking for in July. And then can you provide any context around what the underlying improvement in Q4 should be excluding that $33 million of costs you referenced?
Rich Harshman: Yes. I mean I think that – I think Julie some of the issues in the quarter were – that we were dealing with was some continuation of the fact that not all the price increases on the flat-rolled side that were announced kicked in, there was some pushback on that especially the later ones from the market. I think that the volume in some of the end markets was weaker than what we had thought that was even more seasonal than we were expecting especially in a market like oil and gas quite frankly. So I think those factors really drove the differential between what we were seeing in July and what ended up happening in the quarter. I think as you look at the fourth quarter, the fourth quarter is going to be impacted by what decisions on the transaction business customers are making in terms of managing their inventories. Some of the issues that I mentioned are really not just my concerns, I mean they are the concerns of the customers that we are hearing from directly. And so I think that they are going to – customers are going to be very aggressive in terms of not getting ahead of market demand, which they have been very good at doing really for the last three years but some of the near-term concerns that have popped up here recently, I think are causing concern in the marketplace. I think we will also use the fourth quarter from the standpoint of as we get ready to head into 2015 and get ready to transition fully into the HRPF in the flat-rolled products side, we will take some outages. And we will have a higher major maintenance spend rate in the fourth quarter than what we have been seeing in the second and the third quarter. I think when you look at the airframe market from a demand standpoint, demand so far through three quarters has been very strong for titanium under our mill product supply agreement with Boeing actually running significantly ahead of the minimum through the three quarters. And I think for the year that will be the case, but traditionally has been the case for the last several years, the fourth quarter is the lowest. Those orders aren’t necessarily loaded evenly throughout the year and what happens is that the fourth quarter is a lower shipment rate for titanium on the airframe side than the previous three quarters. And I would expect that, that would continue here in 2014.
Julie Yates - Credit Suisse: Okay, great. That’s very helpful. So, it sounds like we really shouldn’t expect much better than breakeven again in the fourth quarter?
Rich Harshman: Yes. Well, I mean, we – yes, I just told you all those things that we are dealing with and the marketplace is dealing with. So, I don’t really see the fourth quarter as something that’s going to be any kind of a significant improvement quite frankly over the third quarter. I think that markets are being cautious. I think that the build rate on the engine side when you really look fundamentally at when the build rate begins to take off, it’s really ‘16 and ‘17. So, in ‘15, I think you will see a gradual growth and improvement throughout 2015 from the demand side for jet engines, because the next generation engines when you look at the build rates, they are mainly in ‘16 and ‘17 and when you think about the lead time for both mill products and eventually forgings that shows a much stronger growth rate in the second half of ‘15 than it does in the first half and therefore you are not going to see that really in the fourth quarter of 2014.
Julie Yates - Credit Suisse: Okay, very helpful. Thanks.
Rich Harshman: Thanks.
Operator: Thank you. The next question comes from the line of Gautam Khanna (Cowen and Company). Please go ahead.
Gautam Khanna - Cowen and Company: Hey, good morning guys.
Rich Harshman: Hi Gautam.
Pat DeCourcy: Good morning.
Gautam Khanna - Cowen and Company: Hey, just wanted two questions. The first one, Rich, could you talk about the PQ qualification timing and what you expect to do once you are qualified with respect to utilization rate and perhaps your input mix and how that might affect the high performance segment profitability?
Rich Harshman: Yes. I mean, we are – the timing is really largely dependent on the customer, because this is a – remember this is a customer qualification unlike the SQ which was really within the control of ATI from the standpoint of going through the process and certifying and doing the testing of the sponge. So, the PQ process is really driven by the jet engine OEMs. And so we are working with them mainly one, who takes the lead on that qualification and I would put it this way, Gautam, that we are running ahead of schedule in terms of where that qualification processes is. And I think that there is a – and without getting overly complicated, it’s really a two-step process. One is the facility itself becomes PQ qualified. So, there is a recognition and an approval by the customer that the sponge produced at the facility is PQ. And that could happen before the end of 2014.
Gautam Khanna - Cowen and Company: Okay.
Rich Harshman: However, you then have to go through the qualification process that sponge is used in producing a PQ product, that is a rotating or disc-quality product and you have to produce that product using that sponge in order for it to be qualified as a PQ mill product for use in rotating quality material for jet engines. So, that’s the second step. And the second step requires – depends upon the confidence level of the customer. So, in terms of the whole qualification process and because the program is running very well and we continue to do that, there is a chance that, that the PQ approval in total can be achieved in the first half of 2015, but in our view not later than the third quarter of 2015. So, is there a chance it could be approved earlier in ‘15 than in later? Yes. Again, I think there is a good chance and we are doing everything in our power to make sure that that happens. So that’s the PQ process, two step process. So as we begin to look at that and recognizing where we are in the qualification program and the confidence we have, we are currently looking at how do we time the ramp back up of producing material at Rowley. And we are looking at that now and we are going to begin a gradual ramp up because we took it down to almost half of what we had achieved in the third quarter of 2013 before we ramped it back down because the industrial market demand really wasn’t there. And I don’t see any significant change on the industrial market side at this point. Is it much stronger than it was earlier in the year, not really. I think there are some opportunities out there. Pricing is a little bit better, but it’s not dramatically improved from the standpoint of the demand of the sponge. So we are going to be very cautious in terms of how we ramp back up, but we will ramp back up throughout 2015. And as we do that and we begin to use the sponge I think that the total – the costs that you will see producing will continued to improve and get much closer to the costs of what we are acquiring the PQ sponge from external sources. So it will be a gradual improvement throughout 2015. It isn’t going to be something that once we get PQ, we are going to ramp up from 14 runs a week to 22 or 23 runs a week that where we were before. It’s not going to work that way because that wouldn’t be the smart way to ramp that facility back up.
Gautam Khanna - Cowen and Company: Okay. And Rich if I can just follow-up on the question I believe that was asked earlier, you have given lot of color on the HRPF economic case and with the improvement in yield and obviously you will be able to shutdown the older mill and what have you, I just wonder if you could calibrate us on – of that 150 kind of that lower end bogie how much you actually expect in calendar ’15, is it – it sounds like the second half may be at that rate but early on it’s going to be a little lower just so I don’t overshoot on what I ask…
Rich Harshman: Yes. I think that’s a very fair characterization that we will be running on an annualized basis. We would expect to be running close to that rate as we progress through the second half of 2015. And certainly by the fourth quarter that’s our target is to be running at that kind of a rate. I think in the first quarter you will begin to see some meaningful improvement as we move all the production into the HRPF. The first thing you will see quite frankly is the opportunity to sell products that the market wants today that we can’t sell and that’s 60 wide stainless, that’s 48 wide nickel alloys, that’s 400 series ferritic stainless. So, you will begin to see that and the benefits of that from the standpoint of revenue and therefore margin and contribution margin and absorption and improved efficiencies all the way through the production side. You will also be able to see the benefit of coming off at a thinner gauge off of the HRPF which reduces cycles on the finishing assets, so there is a cost reduction opportunity there because instead of doing two cycles and having to re-heat to produce the finish sheet there is only one cycle. So I think you will begin seeing that in the first quarter and it will continue to improve as we go through 2015.
Gautam Khanna - Cowen and Company: Thanks and good luck.
Rich Harshman: Thank you.
Operator: Thank you. The next question comes from the line of Stephen Levenson of Stifel, Nicolaus. Please go ahead.
Stephen Levenson - Stifel, Nicolaus: Thanks. Good morning.
Rich Harshman: Hi, Steve.
Stephen Levenson - Stifel, Nicolaus: On one of the LTAs announced yesterday, one of customers you didn’t actually identify the customer, so I am wondering if it’s appropriate to assume that that – those LTAs were mostly for the Leap and if so while you don’t disclose content, could you maybe give us an idea of the incremental content gains, you have on LEAP versus current single-aisle engines/
Rich Harshman: It’s basically while it may not be 100% incremental, it’s pretty close, because we on the forging side, for example, we had really very little content prior to this LTA on the forging side and the same can be said for the most part on the casting side. And obviously, Rene 65 is on the next generation engine and you will see that to continue to grow. So, I think it’s a very important strategic win quite frankly for ATI. It’s one that we were targeting. It was important for us to establish that integrated relationship all the way from mill products into parts and components with that strategic customer. So, we are very pleased that and proud of the people from ATI that were involved in the process. And I am confident that we will be successful in executing the ramp and providing high-quality products to the customer.
Stephen Levenson - Stifel, Nicolaus: Okay, thank you. Secondly, you talked about airframe materials in one of the answers to questions, but you didn’t talk about airframe forgings. What sort of progress are you making on airframe forgings?
Rich Harshman: Yes. We are good. I mean, obviously, we have – there are some size limitations we have on our forging capability. We don’t have a big press currently. So, we are limited in what part of the market we can participate in there, but we are – we have won some forge parts for airframe that we hadn’t had before and that’s a good start. And we are actively participating in new request for proposals that are coming out from the airframers and I am confident that we will continue to grow in that market. It was never really prior to Steve, I think you covered Ladish before it was part of ATI. It really wasn’t part of their focus necessarily. It is part of our focus. We have been making landing gear forgings in our Poland operation for several years on the single-aisle and we continue to do that, but we are branching out into other opportunities other than the business that we have – that we have enjoyed in Poland and it’s really targeting the capabilities that we haven’t cut.
Stephen Levenson - Stifel, Nicolaus: Great. Thank you very much.
Rich Harshman: Thank you.
Operator: Your next question comes from the line of Timna Tanners of Bank of America/Merrill Lynch. Please go ahead.
Timna Tanners - Bank of America/Merrill Lynch: Yes. Hi, guys. Good morning.
Rich Harshman: Good morning, Timna.
Timna Tanners - Bank of America/Merrill Lynch: I was wondering I haven’t heard you guys comment publicly lately on the HRPF joint venture or tolling arrangement that you have used to talk about a little bit more. It seems like that’s still a pretty hot topic with all the need for light weighting and so on with the steel mill. So, I just wondered if you can give us an update on where that stands or your confidence level in achieving some sort of agreement there?
Rich Harshman: Yes. I mean, it is – it remains on the front and center with us. I mean, I think I commented that we have produced some carbon steel grades on the HRPF as part of the commissioning process and that has gone very well. Really, the key there is actually the cooling and the rate of cooling for that particular – those particular products and the HRPF has been designed to handle those grades. And I can tell you that the very first coil that was rolled was outstanding from a quality standpoint. So, there remains a high interest on the part of potential interested parties. We continue to have dialogue. Our primary focus though at this point in time is to complete the commissioning of all ATI products and to work into the commissioning process where we can, the non-ATI carbon steel products. And that’s the approach we are taking because of the importance of us getting all of our products on to the HRPF in January of 2015. So, as we have the ability to work in some of the carbon grades we have done that. We will continue to do that. And we will continue to have the appropriate dialogue to reach an agreement that we think is value creating for us as well as a potential partner.
Timna Tanners - Bank of America/Merrill Lynch: Okay, cool. So – and then I wanted to ask on the LTAs obviously we saw that announcement yesterday, but hard to pin down exactly how to think about that and quantify it and you did say that your LTAs were $2 billion. So, was that just those $2 billion? When you talk about the timeframe, you say into next decade, do you mean a decade from starting next year or do you mean like the next 5, 6 years into 2020s? Any detail you could provide there just for us to….
Rich Harshman: Yes. I mean, we would love to – we would love to provide more details than we did, but we have confidentiality agreements with our customers and we are limited in terms of what we can’t say. First of all, it’s not the $2 billion of LTAs so far this year is more than these LTAs. So, there are other ones in there, but I can tell you that these three represent a very significant part of the $2 billion. And typically, I think when you are looking at existing LTAs that are being negotiated in this part of the supply chain for these kind of products, you are typically looking at in the range of 5 to 7 years. So, that’s typical.
Timna Tanners - Bank of America/Merrill Lynch: Okay, super. Thanks.
Operator: Thank you. The next question comes from the line of Chris Olin of Cleveland Research Company. Please go ahead.
Chris Olin - Cleveland Research Company: Good morning.
Rich Harshman: Good morning.
Pat DeCourcy: Good morning.
Chris Olin - Cleveland Research Company: Hey, I just wanted to look at the titanium segment a little bit closer within HPM and I know you talked a little bit about medical and airframe getting better, but the volume seem to be much higher than I would have thought. And I guess can you give us a little color in terms of what you are seeing from Boeing in terms of the take or pay arrangement? And also, are you seeing any type of indirect benefit from de-risking away from Russia or some type of inventory build in case something would occur?
Rich Harshman: Yes. I mean, Chris, I think that – I think that on the mill product side, the minimum take or pays that were negotiated as part of the last extension, the demand and what we are shipping are above those levels. And as we have said, we have targeted for a balanced product mix there, right, which includes value-added product forms as well as ingot, designed to meet. So, it includes plate, it includes ingot, it includes build, it includes bar, it includes shapes in some cases. So, it’s really a nicely balanced requirement from the standpoint of our relationship with Boeing. Whether the demand has increased because of risk management assessment on their part in terms of what’s going on in the Ukraine, they would be far better off to answer that question. I think that, that would be smart. It’s basically we have done the same thing when we look at our sources of supply. I mean, management has an obligation to assess the risk management and geopolitical events are really part of that process. So, Boeing is a very sophisticated company and I would be very surprised if they haven’t done that. And that could impact their decision on not only mill products, but also on parts and components and forgings and the like and probably has. So – but, they are far better in the position of answering that question than I am. All I know is that we have a very strong relationship with Boeing. We view them and I believe they view us as a – the relationship as being strategic. We work with them on technology development for future advances and how to build an airplane and we continue to do that and we will continue to do that. So, I think the growth opportunities we have with Boeing outside of mill products is very good and very strong and it’s up to us to define how we are going to create value for them and at the same time deliver value for our shareholders and that’s exactly what we try to do.
Chris Olin - Cleveland Research Company: Thank you.
Operator: Thank you. The next question comes from the line of Phil Gibbs of KeyBanc Capital Markets. Please go ahead.
Phil Gibbs - KeyBanc Capital Markets: Rich, I just had a question on the CapEx kind of coming down here to $250 million from $300 million, is that more of a timing issue meaning pushed into ‘15 or do we just expect lower CapEx related to HRPF?
Rich Harshman: No, I think it’s – Phil, it’s primarily a timing issue and it has to do with really the timing of we are focused along with the Siemens who is building the mill on commissioning and commissioning all of our products within the timeframe of 2014. And so what that means is that there has been some dialogue in terms of first article equipment approval, which really triggers the subsequent payment of the contractual retention that’s in place. And some of that has shifted out of ‘14 into 2015 just because of the focus on the commissioning effort at this point in time. So, that’s part of it. And it’s probably the largest part of it. Another piece is that our focus on flat-rolled products has really been on the HRPF this year. So, we had some other capital projects that were smaller capital projects that we have deferred, because we are focusing all the engineering and management talent really on completing the HRPF. So, we have deferred some of those projects into 2015 from 2014, but it’s a timing issue, it’s not a significant change in outlays or projects.
Phil Gibbs - KeyBanc Capital Markets: Okay, that makes sense. And then just another one on the nuclear market as far as what you are seeing there, you are reading that China is ramping up their spending, Japan may come back a bit, some of the emerging economies potentially looking at that as an alternative fuel. Just curious as to what the discussions have been there and what the outlook for that business is?
Rich Harshman: Yes. We are certainly not in a nuclear renaissance, where we all thought we were maybe 6 or 7 years ago, but there is also talk about the southern company building more nuclear plants once they complete the two that are under construction here in the U.S. So, I personally believe that the nuclear market is a market that we view as a strategic market because of the nature of our products and where it goes throughout a nuclear reactor and a nuclear power plant facility. So, it’s not a market that we have taken our eye off of either domestically or internationally. We do sell some of the product into the builds that are going on outside the U.S. We remain focused on that from a growth profile standpoint. I think there are opportunities for Flowform on certain components of a reactor head for example that as you look at the U.S. market and the age of the U.S. plants and the need to the change reactor heads, which happened as these plants get older, there are opportunities there. And obviously, you have the refueling, which is an important market for our zirconium and our halfnium products. So, we are looking at opportunities for forgings quite frankly and we are actively working that. And then you have a whole relatively new area that is moving, especially in the U.S. market given the fate or the state of Yucca Mountain. We are looking at spent-fuel storage in terms of the utilities moving from what storage onsite into dry storage canisters and there are very good opportunities for us, primarily on flat-rolled products and products like bore rated stainless, which start with our powder operation and move on to our flat-rolled operations. So, I thank you for asking the question about nuclear. We don’t get that much anymore, but I can tell you that it’s not a market that we have taken. While it may not be a renaissance, it’s not a market that we are ignoring nor is it one that we have taken our eye off of.
Phil Gibbs - KeyBanc Capital Markets: Thanks a lot Rich. Good luck.
Rich Harshman: Thanks.
Operator: Thank you. The next question comes from the line of Andrew Lane of Morningstar. Please go ahead.
Andrew Lane - Morningstar: Hi, good morning.
Rich Harshman: Good morning.
Andrew Lane - Morningstar: Could you provide some additional color as to the impact that falling oil prices have had on your business outlook, I am trying to get a sense for the degree to which lower oil prices could potentially delay build rates for more fuel-efficient aircraft models or else on the other side of the coin how much would this be offset by lower airfares, increasing consumer demand for air travel and therefore increasing demand for new aircraft?
Rich Harshman: Yes. That’s the great question Andrew and we have had discussions with our customers, the OEMs on that issue. And I don’t – the fundamental question is how long will oil how – what’s the floor and I think many people believe that the floor isn’t very far away from where it is now because of the production of what will be curtailed. And I think even – it’s interesting when you think about $100 crude or $90 crude or $80 crude or even $60 crude right, even at $60 crude fuel is still the highest single cost for any airline. And when you look at the next generation of airplanes they are all 15% or more fuel-efficient. So, airlines aren’t going walk away from that kind of savings, right, leaving out the creature comforts of the age of the fleet and the passengers and the creature comforts of passengers. So I think I personally don’t view the level where crude is now or even falling more as the end of this aerospace cycle at all. I think it’s more fundamental than that. I think its global GDP. I think one could make an argument that maybe interest rates could change the dynamic there from the standpoint of financing. But I think I believe that this is a very robust cycle that’s driven by a lot of factors, fuel being one and even at $60 crude it makes these investments a strong return on investment because of the high cost of jet fuel being driven off of that kind of a price. On the oil and gas market itself, with falling prices I do think it really depends upon where the demand is being driven by there is some fields and some that are very profitable at $70 a barrel. There are others that have a higher cost and therefore breakeven point below $80 is somewhat problematic. So those rigs then get moved to other locations. So I think there is more of a short-term inventory management that probably goes on. The big projects that are capital intensive projects and takes 3 to 5 to 7 years to build, I think are more driven off of the fundamental long-term view of the world’s need for more energy and therefore we aren’t seeing those projects stopping at all. So, is there a short-term ramification, yes, probably. Is it a real big driver of the end market, probably not, not at this point in time, I think there are more fundamentals at work here.
Andrew Lane - Morningstar: Okay. I appreciate the insight. Thanks Rich.
Rich Harshman: Thank you.
Operator: Thank you. I would now like to turn the call over to Richard Harshman for closing remarks. Please go ahead.
Rich Harshman - Chairman, President and Chief Executive Officer: Okay. Thank you. I would like to thank everybody for joining us on the call today and once again thank you for your continuing interest in ATI.
Dan Greenfield - Investor Relations: Thank you, Rich and thanks to all of the listeners for joining us today. That concludes our conference call.